Operator: Ladies and gentlemen, welcome to the Continental AG Analyst and Investor Call of the Nine Months Results 2023. At our customer request, this conference will be recorded. [Operator Instructions] Let me now turn the floor over to Anna Fischer, who will lead you through this conference. Please go ahead, madam.
Anna Fischer: Thank you and welcome everyone to our third quarter 2023 results presentation. Today's call is hosted by our CFO. Small reminder that both the press release and presentation of today's call are available for download on our Investor Relations website. Before starting, we'd like to remind everyone that this conference call is for investors and analysts only. If you do not belong to either of these groups, please kindly disconnect now. Following the presentation, we will conduct a question and answer session for sales side analysts. To provide a chance for all to ask questions, we would kindly ask you to limit yourself to no more than three questions. This will help us conclude our call on time. With that, let me now hand over to you Katja, the same Katja as yesterday, but thanks to a very happy personal event. From today with a new surname, Garcia Vila.
Katja Vila: Thank you, Anna. And a warm welcome from my side. It's great to have you all here with us today. So let's get started on slide 3. I'm pleased to say that we completed the third quarter fully in line with our expectations. Group level third quarter 2023 sales came in at EUR 10.2 billion despite being 1.5% below last year's comparable quarter, we delivered on the adjusted EBIT margin achieving 6.2%, 150 basis points higher than the third quarter 2022. Now I would like to highlight some key areas that contributed to our third quarter result, starting with automotive. We performed well with a solid sales result of EUR 5 billion, through the finalization of most price agreements, as well as further supply chain stabilization measures, we achieved an adjusted EBIT margin of 2.8%. With a clearer view to the end of 2023, and mostly due to continued currency translation headwinds, we've adjusted slightly down the automotive sales guidance for 2023 by EUR 500 million, with a new corridor of EUR 20 billion to EUR 21 billion. The adjusted EBIT guidance remains unchanged. Looking to Tires, We achieved solid results in weak markets. With this continued performance, we have decided to increase the full year tires adjusted EBIT margin corridors by 50 basis points to 12.5% to 13.5% for ContiTech, we saw resilient quarter three performance and challenging markets and our colleagues continue to be on track for their guidance this year. Across all sectors, we continued to experience FX headwinds, which as mentioned, have resulted in an adjusted full year 2023 guidance on sales for automotive. Finally, our adjusted free cash flow amounted to EUR 466 million, which demonstrates our steady and stepwise progress this year in managing pricing development and strict focus on inventories and receivables. We are on target for our guidance this year. Following our clearly defined refinancing strategy, and making use of good [inaudible] financing conditions, we issued a 3.5 year bond in August 2023. We were already anticipating the refinancing of maturing financial liabilities and the purchase price liability due in January 2024, from the assignment of shares in ContiTech AG Hanover, from Continental Pension Trust e.V. Hanover. Let's look now to the third quarter performance by Group Sector on slide 4. Looking at all sectors, you will see continued progress and sharpening of our expectations, being now halfway through the second half of the year. Starting with automotive, sales grew organically by 5.1% compared to the previous year's quarter to EUR 5 billion sales in line with the market. Our adjusted EBIT margin improved year-on-year by 30 basis points to reach a solid 2.8%, reflecting new price agreements I just mentioned as well as continued cost discipline and stabilization of the supply chain. Regarding the impact we see from the UAW strikes in the United States, our year-to-date impact is double-digit million euro, but the final number depends on the catch-up effect to come from agreements now in place. We want to tow closely, day by day, and adjust accordingly. For Tires, against the backdrop of weak volumes in the replacement market, we still manage the flat organic sales growth and an adjusted EBIT margin increase to EUR 453 million or 13.2%, a 140 basis point increase with quarter three 2022, reflecting strong price mix performance in a challenging environment. To ContiTech, we had another stable quarter with organic sales growth of 1.2% year-on-year for the comparable quarter and adjusted EBIT of 6.6%, resulting from price adjustments against inflation, offsetting weak volumes, and our industrial business. Finally, we continue our ramp down for contract manufacturing according to plan. Let's look into our automotive results in more depth on slide 5. Starting with our business areas, we had solid organic sales growth across the board except for user experience, which reflects a temporary reduction linked to product generation changes we are introducing at key customers. The sales headwind from a FX of negative 3.3% was partially offset by the further positive impacts from the new price agreements concluded in the third quarter. We expect currency translation headwinds to remain strong into the first quarter, affecting our sales top line, leading to the need for the adjustment in our automotive sales guidance. A new pricing agreement from the third quarter also played a key role in securing the adjusted EBIT margin result of 2.8%, as well as reduced special freight costs and improved operational performance. We are on track to meet our adjusted EBIT margin guidance, where we envision landing in the middle to lower end of the corridor. Looking into 2024, we will continue our annual price review program with our customers, expecting that some contracts will need to be renewed to ensure continuity of the adjusted pricing, while others need to be reviewed to reflect potential cost developments in 2024. Let's now look to slide 6, where we deep dive into our sales performance segmented by region for the third quarter. For Automotive worldwide, our organic growth developed in line with the market. This was underpinned by our robust performance in Europe, while overshadowed by underperformance in the North American and in the Chinese market. For North America, however, the strong quarter three 2022 comparative base with significant price improvement bookings distorts the view. Looking in detail from a pure volume perspective, our analysis shows that we slightly outperformed the market. In China, we have limited content in the models that gained significant market share in this quarter. We are, however, well positioned in the Chinese market. Based on fiscal 2022 figures, our Chinese OEM sales makeup approximately one third of our total China sales. Let's move to our other performance indicator for automotive, our order intake on slide 7. In the third quarter, we secured business worth a total EUR 4.7 billion lifetime sales with our colleagues in Safety and Motion, bringing in further awards on our newest one box break system and airbag control system. Architecture and networking team, secured business, wins on telematic control units and business extensions and integrated body controllers. Now let's move on from automotive to tires on slide 8. I'm pleased to highlight we report yet another good quarter. As mentioned, We achieved an organic sales growth of 0.3% compared to the third quarter 2022, even against the weaker volumes and FX headwinds. Overall, our focus on high-value tires combined with a continuously high pricing discipline enabled a sound adjusted EBIT margin result of 13.2%. For the outlook, we saw raw material prices starting to increase again from a currently low base and we foresee this to ramp up into 2024. Further, as mentioned last quarter, we saw uncertainty in the replacement market to remain, which combined with the material price trend means that we continue to maintain our pricing discipline carefully balancing value over volume. For our 2023 guidance, we are confident in our ability to perform, despite the challenging environment and have therefore positively adjusted up our adjusted EBIT margin by 50 basis points to the new corridor of around 12.5% to 13.5%. And now let's dive into our final sector, ContiTech on slide 9. A stable performance with 1.2% organic growth despite weaker industry volumes, FX through new price agreements and strong E volume developments will be contributed positively. On the adjusted EBIT side, we achieved a net gain of price over inflation, as well as favorable mix in some industry businesses, which supported our 6.6% result. Coming back on the group level now on slide 10, our adjusted free cash flow result for the second quarter of 2023 of EUR 466 million confirms our positive incremental progress for full year guidance. On the operating side, the improvements on inventory were underpinned by continued supply chain stabilization. We expect the levels of working capital to further decrease towards the end of the year. On the investing side, we balance well the automotive project demands and tire capacity and mixed investment needs to come out slightly below on the year-on-year comparison here. I reiterate we continue to be on track to meet our adjusted free cash flow guidance this year. Finally, let's look together at the main market volume trends for the remainder of 2023 on slide 11. Based on our projections, we are making some further small adjustments across all markets. Starting with vehicle production volumes for light passenger cars and light trucks, we have again revised up our worldwide view to 5% to 7%, linked to higher expectations out of Europe and China on the back of the stronger than expected year-to-date vehicle production. As with the second quarter, we will also upgrade our guidance for commercial vehicle production in Europe. Now, for the replacement tires, passenger cars and light trucks, while our worldwide guidance stays unchanged, we have adjusted between the regions with slight downgrades for Europe and China and a small upgrade for North America. For commercial vehicles, here we see further worsening in the demand and consequent downgrades in both regions. Finally, looking to industrial production, as mentioned last quarter, here we do see enough further weakening of demand across the Eurozone and slight improvement in the United States to round respective changes while China remains unchanged. So, now let's sum it all up by looking at our outlook for 2023 on slide 12. With a clearer view to how the end of the year will likely develop, I would like to walk you through the adjustments we are making to our guidance for this year. Starting with the tires line, despite the volatility on the volume side, we are confident in our continued performance and our adjusted EBIT margin guidance by 50 basis points to 12.5% to 13.5%. Next, let's look to the automotive sales line. Here we reduce our sales guidance by EUR 500 million to the new guidance range of EUR 20 billion Euro to EUR 21 billion, reflecting the continued currency translation headwind and partially weakening call-offs into the fourth quarter. The adjusted EBIT margin guidance remains the same, and we foresee us landing more in the middle to lower end of that corridor. The results of the automotive sales adjustment carry through to the group-consolidated sales lines, while we also narrow the corridor to reflect the market challenges. Finally, we confirm our adjusted free cash flow guidance. Before I hand over to you all for your questions, I would like to announce our up-and-coming Capital Market Day on the 4th of December. For details, please take a look at our website or directly contact our IR team. Now, that concludes my key messages for today. And I would like to hand over to you for your questions. Operator, could you please open the line for the Q&A?
Operator: [Operator Instructions] And for the first question, I welcome now Horst Schneider from Bank of America.
Horst Schneider: Yes, good afternoon. Thanks for taking my questions. I try to stick to three. The first one is, as you can imagine, on the automotive guidance, on the margin guidance. If I'm correct, I calculate that you expect something like 5% margin now in Q4. Of course, it seems it would be a big step up. So maybe you can explain what needs to happen in the fourth quarter that you can achieve this margin and what's the level of visibility that you have got by now on that. Little bit similar question on tires. I see that you expect this pickup of revenues in the fourth quarter. So just curious if you have got a full visibility on that or if there is some risk, the revenues could be smaller and then also would be useful to get a trade-off view on the raw mat cost versus price mix for the fourth quarter. Last question that I have that is a special one. I apologize if and I understand if you don't want to answer that, but it refers basically to the Manager Magazine articles that we have seen last month and that was reporting about problems with a brake called MKC1 and they were saying that there's a risk of a recall that could be substantial. So maybe you can inform us about any potential problem and if there's a risk of a recall. Thank you.
Katja Vila: Okay, I think that was one more than two questions but I will try to work through. Don't worry. So let's first start with the automotive in Q4. You know that historically the fourth quarter is our strongest quarter in performance, ye. And this is mostly due to the fact that we usually get the biggest share of R&D reimbursements in Q4. So that is one of the main drivers so to say on the continued improvement in margin for the fourth quarter that we foresee on the automotive side despite the fact that we are also continue to work on cost discipline and operational performance improvements. When you look at tires for the fourth quarter, yes and that is kind of a couple of influencing factors for our expectations for the fourth quarter. So in general, you need to see that the global replacement markets have not yet recovered as expected so far and we also do see that there might be some continued negative effects from unfavorable cloud utilization. There's also not a significant contribution and size mix in the Q4 compared to the Q4 of the prior year because that has already been on a quite high level last year. We also still see negative effects here and we also have to give first negative impacts from raw material indexation in Q4 due to the negotiations we had with the OE customers. And in addition, we are also expecting some high CapEx in Q4 in addition. That is what we do see. I think with regards to the positive potential tailwind from ram mat, yes, so there are some, but [inaudible] will also had some ones in this quarter, but that is nothing that we want to fight in total about it. So about the MKC1, a question that you've raised. I do not have a real specific information about that topic so far. We are in no negotiation or talks at the moment with our customers or any official -- I don’t--just need to see, speak about the right wording and any official topic about quality problems with the MKC1, yes, so there –
Horst Schneider: Ye, all right. Just a quick follow up on automotive and your level of visibility that you have got by now that you can really achieve the 5%. I don't know, is there still some risk that you don't meet it or you have got full confidence that you achieve it from today's point of view?
Katja Vila: If I wouldn't be confident, I would not reconfirm the guidance in principle.
Horst Schneider: I thought so, yes.
Katja Vila: Expectations, yes, but you need to understand that there are lots of moving pieces at the moment still with regards to supply chain, FX, mix, the reimbursement that I still spoke about. But what I do see at the moment is why we've confirmed the guidance.
Horst Schneider: Because you mentioned you see lower call-offs so far in Q4, that's baked into the guidance right now. I mentioned that we do see some weakening of demands in some areas in the call-offs but that is nothing specifically so the major reason for the downgrade of the automotive sales guidance is continued negative FX effects.
Operator: So next question comes from Sanjay Bhagwani from Citi.
Sanjay Bhagwani: Hello, thank you very much for taking my question also. I will also try and stick to three. So my first one is on this organic growth outperformance. So what we have seen in Q3 is basically your organic growth is same as what auto production is. So I understand you mentioned two major drivers of this organic growth outperformance of close to zero. The first one you mentioned was user experience business where I think you are seeing some temporary migration to the technology like from analog to digital or something like that. And second, I think you mentioned about China under performance. So can you maybe please provide some color on this that can we expect both of these to basically reverse more in Q4 onwards or how should we see this reversing of these both of these segments? Then my second question is on pricing. Could you maybe provide some color on this? How much is the retroactive pricing in this Q3 margins in the auto tech? And final question on ContiTech. Could you maybe just remind us what the story is and what are the key pillars to get to the midterm targets of 9% to 11 %? Those are my questions, thank you.
Katja Vila: Okay, let's maybe first talk about the sales performance in the third quarter specifically. Yes, you've mentioned that we have not seen a positive growth on the UX side in the respective quarter. But what I can tell you is that this is really specifically due to some ramp downs and ramp ups in technology. You can expect that the quarter four will be stronger than the Q4 we had last year on the UX sales side. China, we also mentioned that we do have some specific models or a specific customer that is very highly vertically integrated. This is why we could not outperform the Chinese market in general, when you look at our order intake in total that we were able to gain during the course of the last years for China, we definitely do expect a continuously positive sales development for the Chinese market. The second question you asked was about the pricing and the pricing topic and how much of it is retroactive. You know that I don't break that down and have not done so in the past. Probably the retroactive piece to it is smaller than you expected it to be at the moment. So I think what we have done is we've continued to improve on the pricing side. So we've done further agreements, but the retroactive part is not as big as you might have thought it would be. And on the ContiTech side, so ContiTech, there is, we do have different programs that we have in place to continuously drive us to the midterm target of 9% to 11%. So what you could see in the past in ContiTech is that we had lacked on operational excellence. So we've done a lot now and are still continuing to do to improve on the operational performance in ContiTech by looking at plant structures. For example, also there we had the transformation program and we have also announced additional plant adaptations like the closure of three host plants. For example, in Germany, they will all help to improve on the operational excellence side and we've put much more focus on the commercial excellence. And one of our major targets is to also grow over proportionally in the industrial area which has a different margin profile than the automotive area in ContiTech.
Operator: So next question comes from Tim Rokossa from Deutsche Bank.
Tim Rokossa: Yes, thanks you very much, it’s Tim from Deutsche Bank. Hi, Katja and hi, Anna. I would have two or three questions. The first one is just really to understand the pricing impact in Q3 and potentially also the R&D reimbursement impact in Q4. Katja, can you just confirm that on an underlying base, ex the price reimbursements that you received, you were still profitable in Q3? I think that would be important to understand. And secondly, when we think about the R&D reimbursement, is there also still anything coming on the pricing side? You said the overriding majority you have already achieved in contract negotiations. What's the magnitude that you would get in R&D reimbursements? Is it more than usually given all the discussions that you had on the pricing side and some of that maybe moved into the R&D reimbursements instead of just giving you a one-off pricing element? And then as a third point, just to come back to one of the previous questions, when we think about your organic growth and outperformance going forward with the geo mix obviously playing quite a sizeable role. How should we think about this next year in your view right now? Would this be similar to what we see right now? Do you see a bit of a pickup again? Thank you very much.
Katja Vila: Okay, so let's first take the pricing impact. What I can confirm, Tim, is that we would have been positive in automotive even without additional price agreements. That is something I can definitely say. Why is that? Because we have continuously improved on the operational performance offer on the automotive side. And we do see more stable supply chains. So that is what helped us to be also without additional price agreements on the positive side in automotive. With regards to the R&D reimbursements, there is not much of a change to it coming from the negotiations that we have now on the pricing side. You know that in general R&D reimbursements are high in Q4. We also had very high R&D reimbursements last year in the fourth year and 2024, I would say probably take that as an indication that this will still be a very strong supporting factor for Q4 performance in automotive. And with regards to outperformance in the next year, we will need to see how things will develop there. Positive effects from the geo mix next year. When you look at the S&P expectations for next year, you do see that Europe also looks quite good. Overall, the expectations are a little conservative at the moment. For the worldwide production, we are currently evaluating the real effects finally with for us, we are looking at the mix in the different regions and also looking at the ramp-ups that we do have next year. So please wait until we come to the real guidance for next year to tell you more about how the S&P and our internal view really fall together.
Tim Rokossa: Okay, that's a strong statement that you were profitable underlying. I think that's important to understand. Then if we just think that logic through, is the R&D reimbursement incrementally more adding in Q4 than the price discussions added in Q3?
Katja Vila: Yes.
Operator: So next question comes from Giulio Pescatore from BNP.
Giulio Pescatore : Hi, thanks for taking my question. The first one on China, you mentioned you gave us a number for your exposure in China to the Chinese car makers. Thank you for that. That's very useful. Can you maybe help us understand in which product categories are you winning with the Chinese? Because I think that's key. You said some of the Chinese car makers are very vertically integrated. So where are you winning when you're winning? And second question on autonomous mobility, still lacking some momentum on order intake, it is the division that hasn't been winning many orders. When can we expect an inflection point in this regard? I think it's a very important business for you. So when can we expect an uptick in order intake here? The last bit following up on the previous question, the margin runway that we should expect for next year. I guess we shouldn't take H2. Should we take the full year of 2023 as a starting point? Or it may be fair to make some adjustment to that. What's the starting point? And as we look at next year, IHS S&P is forecasting no growth in production. How do we move forward? How does the margin continue to recover in the absence of any production growth? And I know this is maybe a question for the CMD, but maybe you can give us a taste. Yes, thank you.
Katja Vila: Okay, these are a lot of questions. So I would say we probably win in China in almost all categories that we have here. Now that we have established in China significant, not only production capabilities, but also capabilities on the R&D side and specifically also on the software side. So with architecture and networking, autonomous mobility, but also on the brake side with the new brakes components, we do win additional business. And what we have won so far during the course of the last three years really makes us believe that we will be able to grow our business with the local Chinese OEMs continuously during the course of the next years. Yes, for the AM side, I think for AM, if you include the Aurora business, Giulio, you do see that we did have some significant wins for new businesses in AM this year. What we've also seen is that some of our customers have postponed sourcing decisions over and over again on the autonomous mobility side, but we are in good faith that we will continue to record order intake on the AM side. And regarding the basis for the modeling point in 2024, please do not take the second half performance as the basis, but please do take the full year performance as we project it now as a basis. I think that is important to see.
Giulio Pescatore : Thank you very much. How do we continue to progress on the margins? Any taste of that? I guess it will be one of the key points of the CMD, but anything you can give us now?
Katja Vila: I think what I can give you now is that this will not be a one thing. As you've just mentioned, the full improvements to reach on the term targets will not come from pure volume goals. It will come from volume. It will come from outperformance. It will come from continuous pricing and that we will pursue on the customer side. We will have to stay strict on our costs. So to stay with the cost discipline, we have to increase continuously the efficiency on our R&D. We need to work on operational excellence and operational performance. And by the way, also the transformation program will continue to pay in positively into the margin improvements also for next year.
Operator: [Operator Instructions] So next question comes from José Maria Asumendi from JPM.
José Asumendi: Thank you. Hi, Kajia. A few questions, please. Maybe the first one on autos, can you elaborate a little bit on the restructuring charges you're taking in the auto division? Are there more coming in the fourth quarter and which divisions is it broadly impacting or where do you see the potential for these restructuring actions to improve the profitability in the medium term? Second question on tires, can you talk about overall demand level of activity that you're seeing for cars and truck tires? And are there any signals of destocking both passenger car and truck tires or is the destocking broadly done? Thank you.
Katja Vila: Okay, so talking about the restructuring charges in Q3, what we have done is we have announced that we are planning to close our plant in Gifford. So that is another sort of a restructuring in the automotive side and we've recorded charges in the Q3 reported EBIT for Gifford. Regarding the levels of activities and truck and PLT tires, we do think that the destocking really is fading out now and we're expecting some more catch-ups selectively also now. The dealers are carefully building up stock again due to the refinancing costs that they have but we do think that the destocking is now really coming to an end now.
José Asumendi: Thank you. Just a quick follow-up. Katja, we look at the auto division and there's so much detail we can get. Do you think there's a chance that during the Capital Market Day we might get a bit more granularity or details behind the profitability of each of the subdivisions? Just to gain a bit more visibility into the business and understand the trajectory, not for the next six, 12 months but let's say three or four years on the road.
Katja Vila: I would say some you can expect. Yes, and just wait until the Capital Market Day and we will provide you with more details on the profitability improvements on the auto side.
Operator: So next up is Thomas Besson from Kepler Cheuvreux.
Thomas Besson: Thank you very much. Congratulations, Katja, first. It's an important news. If I move to questions, so my three questions first, what should we expect in terms of content for your CMD because as much as I love going to Hanover in December, I must say we hope to be cheered up a bit by either some new mid-term targets or some discussions around the potential strategic realignments that have been mentioned in the press. Both on ContiTech one and the automotive businesses, that's the first one. The second, you had the very supportive taxes and CapEx in Q3. Should we expect that you may eventually be slightly below the full year guidance? Because if you were to be in the full year guidance for most, it would imply a step up that would be quite meaningful specifically for CapEx. And third and last question, could you remind us who are your top three clients for the automotive business and could you give us the combined share of your automotive business with Tesla and BYD please? Thank you.
Katja Vila: Okay, so let me talk about the CMD. I think the agenda for the CMD was already sent out, Thomas. And we will for sure continue to provide you with more details and updates on the strategy for our company. As you know, we're still doing a strategic review at the moment with regards to our portfolio. And we will communicate decisions as soon as we've taken those decisions. With regards to the CapEx for the fourth quarter, I have already mentioned during the call that or just a couple of minutes ago in one of the questions that we do expect a strong CapEx on the tire side in the fourth quarter, so that we will not come out significantly below our CapEx guidance for this year, which is around 6%. The top three clients for automotive business and combined share. I do not have a combined share for Tesla and BYD for you in automotive. The only thing that we do publish are our top five customers. I'm just thinking if I can give you the top three customers on hand. I think we have the five, it's Ford, Mercedes, Benz, Wilson Nissan, Mitsubishi, Stellantis and VW. And with those, we generate approximately 32% of our sales. And we did that and published that for the last year.
Operator: So next question comes from Edoardo Spina from HSBC.
Edoardo Spina: Hi, it's Edoardo Spina from HSBC. I have three very quick questions. The first is on ContiTech. If you could confirm the article saying that you are splitting legally the two businesses within ContiTech and if so, what's the timing for that split? A second question is just to ask your current stance with regards to the potential realignment of the group divisions. What do you tell investors at the moment when you are asked what's your current stance on that? And the final question is on the tires or the materials just to ask if you can confirm whether you're starting to pay a spot rate higher prices year-over-year at the moment already or it's not the case yet. Thank you.
Katja Vila: Okay, let me talk about ContiTech first. We have announced that we are currently performing a legal split of the industry business and the automotive business on ContiTech. Why do we do that? We do that because we want to give the automotive business and ContiTech the chance to develop independently and strongly. And the idea is that we will have finalized the legal split until the end of 2024. With regards to the strategic review that we are still in and I cannot tell you now when we will be done with it. I'm sorry. Just made a knot into my into my tongue. Yes. So and that is still ongoing. And as soon as we finalize the strategic review, we will talk about the decisions that we have taken at executive board. And with regards to spot rates on the material development, we do see that some of the input materials on the tire side are now increasing on price levels again. But this will not hit us any more significantly for our performance this year as we do have an average of three to four months lead time to come. Just we also do have long term contract established on the tire side. So we're not that dependent on spot buys.
Operator: And the next question comes from Frank Biller, LBBW.
Frank Biller: Yes, hello. Thanks for taking my question. A question about the tax rate in the third quarter. So the tax rate was pretty low. So what you assume here for the fourth quarter so reaching the 27% means in the north of 30% in the fourth quarter, will it be set high and what's the assumption for the next year. And the other question is on ContiTech. Well, the margin in the fourth quarter was pretty good with more than 6%. What do you expect for the fourth quarter is it in that range or is it going down like last year?
Katja Vila: Okay. Let's talk about the tax rate first. You were right, in Q3, our tax rate was quite low. We have not adjusted our full year guidance on the tax rate for the 27% as we've laid it out. So you can expect that there will still be some moving parts on the tax side. And that's why we have not changed it overall. Talking about ContiTech, you remind me on that notice last year that I had to report that the Q4 performance on ContiTech was really low. As you could see, we stabilized the performance on ContiTech significantly and also looking at the guidance. I do not expect to have the same development as last year with regards to the ContiTech margin in Q4
Operator: So thank you very much. There are no further questions now. So I hand back to your host, Anna Fischer, for the conclusion of the conference.
Anna Fischer: Thank you. And thank you everyone for participating in today's call. As always, the Investor Relations team is available if you would have any remaining questions. With that, we're concluding today's call. Thank you so much and goodbye.